Operator: Good day, and welcome to the Third Quarter 2014 Equifax Earnings Release Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Jeff Dodge. Please go ahead, sir.
Jeffrey L. Dodge: Thanks, and good morning. Welcome to today's conference call. I'm Jeff Dodge, Investor Relations, and with me today are Rick Smith, Chairman and Chief Executive Officer; and John Gamble, Chief Financial Officer. Today's call is being recorded. An archive of the recording will be available later today in the Investor Relations section in the About Equifax tab of our website at www.equifax.com. During this call, we'll be making certain forward-looking statements to help you understand Equifax and its business environment. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations. Certain risk factors inherent in our business are set forth in the filings with the SEC, including our 2013 Form 10-K and subsequent filings. We will be referring to certain non-GAAP financial measures, including adjusted EPS attributable to Equifax and adjusted operating margin. It will be adjusted for certain items, which affect the comparability of the underlying operational performance. Adjusted EPS attributable to Equifax excludes acquisition-related amortization expense and the associated tax effects, in addition to the impact of a settlement of a legal dispute over certain software license agreements. Adjusted operating margin excludes the legal settlement regarding the dispute over software license agreements. These measures are detailed in our non-GAAP reconciliation tables included with our earnings release and also posted on our website. Also, please refer to our various investor presentations, which are posted in the Investor Relations section of our website at www.investor.equifax.com for further details. Now I'd like to turn it over to Rick.
Richard F. Smith: Thanks, Jeff, and good morning, everyone. Thanks for joining us again this morning for the third quarter earnings call. The team delivered a solid performance again in the third quarter as they continue to execute on our growth strategy and our operational excellence priorities. We continue to improve our NPI process, sharpen our focus on delivering solutions that leverage our multiple data assets and sophisticated analytics expertise. Customer demand for our Decision 360 offerings continues to be high, and I'll go through some examples of those when I jump into the USIS highlights in a few moments. LEAN is also making important contributions to our initiatives, both revenue and expense. This year, we have 10 enterprise growth initiatives that are being managed using our process improvement and measurement tools that we've developed, and we've talked to you about those in the past. High-level financial overview for the quarter. The total revenue was $613 million, up 7% on a reported basis and up 8% on a local currency basis from the third quarter of 2013 and in line with our expectations when you take into consideration a much stronger dollar. In the quarter, FX created a $6 million year-over-year headwind, something we had not anticipated nor had much of the country anticipated when we gave guidance last quarter. When you exclude the mortgage market headwinds and you include acquisitions, revenue grew 10% in local currency and 9% in U.S. dollars. The adjusted operating margin was 26.4%, up from 26.2% a year ago. Adjusted EPS was $1.01, up 12% from $0.90 last year and up versus our guidance of $0.96 to $0.99 for the quarter. U.S. mortgage market is really unfolding much as we anticipated earlier this year. As we enter fourth quarter and 2015, those headwinds do abate. Even with the many global uncertainties we face, I remain optimistic about our growth prospects, not just for 2014 but also for 2015. I'll give you some texture around that before we go to questions and answers. Here's a few highlights by business unit I typically give you and I'll go through some of those, and then John will take over and give you some of the financial details. USIS continues to drive growth through its enterprise-wide sales channels as well as capitalizing on several strategic initiatives. During the quarter, we signed a multiyear, multimillion dollar agreement to provide online ID proofing services for the Social Security Administration. This is a great win as it further establishes Equifax as an important service provider, enabling the Social Security Administration to provide consumers with access to their information in a secure online environment. Our initiatives in auto, retail banking, insurance and telco, in addition to new initiatives in mortgage, are driving solid mid-single-digit organic growth for USIS. Year-to-date core non-mortgage market growth is performing as we have expected and talked to you about in the past. We continue to find strong market demand for super scores. We've talked about super scores before with you. That's where we take combined -- we combine different data assets, including our data assets, third-party data assets, to create a unique decisioning solution for our customers. This is a great example of leveraging D360 to fuel new areas of growth. As you know, in this area, our customers need to grow but also need to control their risks, and many times, their best opportunities for growth are typically with younger consumers who have limited credit history. With the credit database only, hit rates and risk assessment on younger consumers is generally very low due typically to a limited amount of credit history. By augmenting the available credit information with these additional data assets and sophisticated analytics, we can improve the risk assessment with a single scoring solution for both financial and nonfinancial customers, and this has been very, very well received by the auto vertical in the past few months. Our Identity and Fraud Solutions continue to add strong organic growth within USIS. Leveraging our strong partnership with the centers for Medicaid and Medicare services, we have secured another multimillion dollar opportunity for monitoring Medicare and Medicaid providers. Really, that whole opportunity was opened up with the relationship that EWS has created in the last 18 months with CMS. And with major credit card companies within USIS, we won a cloud-based ID authentication solution. During the quarter, we also signed a 2-year multimillion dollar agreement with an indirect reseller in the direct-to-consumer market. This is one of the largest deals we've signed of this type, with annual revenues exceeding $20 million. For 2014, we expect USIS to deliver core non-mortgage market organic growth rate consistent with our long-term growth rates that we've talked to you about in the past. Moving on to International. They continue to leverage NPI and their key strategic initiative is to drive growth and to drive deeper market penetration. Total revenue in International was a bit lighter than we expected this quarter, driven primarily by a stronger dollar that I mentioned early on and the fact that the revenue ramp in TDX is now moving into early 2015. Maybe I'll just pause there for a moment and talk about TDX. TDX is a great strategic asset for us. It's performing very well. I'm as bullish today as I was when we bought the asset back in the early part of this year. But we're just getting used to the forecasting model for TDX, and we missed that by about a quarter or so, so we will accelerate its growth in 2015. We've also identified a number of attractive opportunities, which are expected to contribute to strong organic growth in 2015, not just in TDX's current footprint, but also our ability to take that asset to the U.S., Canada and other geographies. And I'll be more than happy to talk about that in the Q&A and any questions you might have. In Canada, our recent innovation for data breach services has become a great success. During the quarter, we signed 2 1-year contracts that are expected to contribute over $4 million in revenue. Based on the initial success we've had with this new product in Canada, we're developing a strategy to expand the service to other geographic markets. We're also making great progress in penetrating the telecommunications market in Latin America. In Peru, we recently signed a 2-year multimillion dollar contract for a wide range of services, including our InterConnect decisioning platform, fraud screening platform, analytical and marketing services, ID verification, new account application support and collection services, so a broad array of products to a -- customers we know very, very well in the telecommunications arena. Through partnerships in NPI, Workforce Solutions continues to find opportunities to grow the available records in the Work Number database. We're well on our way to achieving our short-term target of 250 million records and have already identified additional opportunities for records, which will enable us to exceed this goal. Total records for the Work Number database are now at 248.6 million records. We now have over 4,000 companies contributing their employment and income information into our database. Dann and his team continue to do a very, very good job there. Our analytical dashboard that supports companies' compliance management requirements under the Affordable Care Act has been very successful, and we've talked about that in the past with you. We are significantly ahead of our targets for revenue and for record contribution to the Work Number database in 2014, with over 215 clients signing up for this service. And again, in many cases, they're not only buying the analytics, but they're giving us the Work Number database as well, so it's a double win. We continue to deliver solid double-digit growth in our targeted non-mortgage verticals, particularly auto, card and home equity lending within EWS. As our higher margin verify revenue growth outpaces the employer services growth, operating margins in Workforce Solutions continue to expand nicely. During the quarter, in EWS, we have signed another contract with a major credit card company for verification of income to be incorporated into their credit line increase program. You've heard us talk about that in the past. That solution for credit line increases continues to gain great traction for EWS. We've been experiencing increasing interest in our verification of income services as lenders continue to seek better solutions to further strengthen their underwriting policies. Workforce Solutions' core non-mortgage market organic growth continues to be well above their long-term targeted growth range of 7% to 9%. PSol is executing well on its core business initiatives, while making good progress on its strategic transformation. In the core business, they're ahead of their targets for churn and customer lifetime value, in addition to a year-over-year increase in ARPU, which has enabled them to deliver strong organic growth and operating margins. In the indirect market, we've signed a number of new contracts and have launched a few beta tests for some very large prospects. The pipeline is robust on the indirect side, and we believe that the team's efforts will successfully reposition PSol for good growth in 2015. Business unit leaders have accomplished a lot this year, offsetting mortgage market headwinds, tackling change in market dynamics, integrating acquisitions and positioning their businesses for continued growth and margin expansion. We're now through the toughest part of the mortgage headwinds. Looking forward to the fourth quarter and beyond, we fully expect our non-mortgage products and services to continue delivering top line growth, consistent with our long-term business model of 7% to 10%. And with that, John, the financials, please.
John W. Gamble: Thanks, Rick, and good morning, everyone. As Rick mentioned, our performance this quarter was strong. A lot of hard work had to be accomplished, but everyone contributed to the effort. As before, I'll be referring to the financial results from continuing operations generally presented on a GAAP basis. It is important to highlight that FX became a greater headwind during the quarter than we had originally expected for the quarter. Our financial performance was adversely impacted by the accelerated depreciation of currencies versus the U.S. dollar. For the quarter, compared to the third quarter of 2013, revenues were negatively impacted by approximately $6 million, and adjusted EPS was negatively impacted by about $0.02 a share. Due to a number of discrete items, our lower tax rate benefited adjusted EPS by approximately $0.03 a share. Netting the tax benefit with a negative impact of FX results in a $0.01 contribution to our reported adjusted EPS of $1.01. Earlier this year, we indicated that our stock buyback should accelerate over the course of the year, and we expected to exit 2014 with a lower share count. During the quarter, we repurchased 1.5 million shares for $113 million, and share repurchases will continue into the fourth quarter. Now let me turn to the business units' financial performance. U.S. Information Solutions revenue was $279 million, up 3% when compared to the third quarter of 2013. Online Information Solutions revenue was $206 million, up 4% when compared to the year-ago period. Mortgage Solutions revenue of $28 million was flat compared to Q3 2013. This compares favorably to the Mortgage Bankers Application Index, which was down 26% in the third quarter. Financial Marketing Services revenue was $45 million, up 2% when compared to the year-ago quarter. The adjusted operating margin for U.S. Information Solutions was 40.3%, up from 36.2% in the third quarter of 2013. This reflects positive product mix as well as good expense control. International's revenue was $158 million, up 18% on a reported basis and up 22% on a local currency basis. Acquisitions contributed approximately 16 points of the local currency growth. By region, Europe's revenue was $70 million, up 51% in U.S. dollars and up 40% in local currency, driven by the acquisition of TDX and mid-single-digit organic growth in our core business. Latin America's revenue was $49 million, flat in U.S. dollars, but up 18% in local currency, driven by double-digit organic growth in decision solutions, analytical services and Personal Solutions. Canada revenue was $39 million, flat in U.S. dollars, but up 5% in local currency. For the third quarter, International's operating margin was 23.5%, up from 22.5% in the second quarter of 2014. Workforce Solutions' revenue was $122 million for the quarter, up 6% when compared to the third quarter of 2013. Verification Services, with revenue of $76 million, was up 10% when compared to the same quarter of 2013. Employer Services revenue was $47 million, up 1% compared to last year. The Workforce Solutions operating margin was 32.5% compared to 29.9% in Q3 of 2013. North America Personal Solutions revenue was $54 million, up 3%. Growth was driven primarily by Canadian subscription and indirect revenue primarily through TrustedID. Operating margin was 31.6% compared to 26.3% in Q3 2013, largely driven by reduced marketing expense in the quarter. Finally, our general corporate expense was up this quarter from the year-ago period due to increased incentive compensation and timing of some investments. 2014 year-to-date, general corporate expense is up only less than 1%. Now let me turn it back to Rick.
Richard F. Smith: Thanks, John. As we enter the fourth quarter, we're ending this year pretty much as we anticipated at the start of the year. The mortgage headwinds are largely behind us, really abating in mid-third quarter. We've got a number of opportunities on the horizon that will continue to drive both top and bottom line growth. For the fourth quarter, assuming current exchange rates, we expect reported revenue to be between $615 million and $620 million and adjusted EPS to be between $0.99 and $1.03. This assumes an FX headwind of approximately $11 million on revenue and $0.02 to $0.03 on adjusted EPS. Also, as I mentioned earlier, the anticipated revenue contribution from TDX accelerates as we go into 2015 versus the year-end 2014 that we originally thought when we gave guidance at the end of the second quarter. So for the full year of 2014, we expect EPS to finish in the range of $3.86 to $3.96 -- $3.90 versus our prior guidance on our last call of $3.83 to $3.91. At this time, our optimistic outlook for 2015 has not changed. We expect the mortgage market to return to a more normal mix of home purchases, refinancing activity and the increase in home equity lending. We also believe that our strategic initiatives outside of the mortgage market will continue delivering revenue and earnings growth consistent with our long-term business model. Our confidence is supported, first and foremost, by broad-based execution across all of our businesses throughout 2013 and '14, where the swings of the mortgage market were their greatest. In addition, our core non-mortgage market organic growth rate continues to be in the targeted range of 6% to 8%. Finally, the integration of our strategic acquisitions made in 2014 will contribute to organic growth in 2015. All these are -- while we are not without challenges, this team has demonstrated their ability to continue to deliver on our commitments to our shareholders. So with that, we'd love to, operator, turn it over to questions. If you'd please open up to our callers.
Operator: [Operator Instructions] And we'll go to our first question from George Mihalos of Crédit Suisse.
Georgios Mihalos - Crédit Suisse AG, Research Division: Wanted to start off on TDX. Just maybe, John, specifically, can you call out the revenue contribution from TDX in the quarter, how you're thinking about that for '14? And then as we -- or for fourth quarter, I should say. And then if I'm not mistaken, the growth profile of that business was somewhere around, I think you guys were talking about it being somewhere around 20%. Has anything changed there as you look out over the long term?
Richard F. Smith: George, this is Rick. I'm not sure if you asked the question to myself or of John, but let me see if I can tackle that. We do break out that it's 16% of the local currency International growth. TDX is a great asset and I said that earlier. I'm as convinced it's a great asset today as I was then. What we learned is the forecasting model from the time you actually engage a client to the time you sign a contract and then get the revenue is a little longer than we anticipated. So revenue we had originally forecasted when we bought the business, I think it was in January of this year, by the time we get our heads around it and build a forecasting model in late first quarter, it's turned out to be a little slower than we had anticipated. But in the current footprint, it is going to be a great asset for us and in new footprint, i.e. Canada, U.S. and Latin America. And more importantly, the combination of Inffinix, which we bought in Mexico City, with now TDX is already starting to generate some strong interest in new geographies. So hopefully, that helps.
Georgios Mihalos - Crédit Suisse AG, Research Division: Okay. So just a timing issue, nothing else?
Richard F. Smith: Correct.
Georgios Mihalos - Crédit Suisse AG, Research Division: Okay. And just shifting gears a little bit to USIS. Again, the contribution margin or, I should say, sort of the incremental EBIT year-over-year continues to be growing at a rate that is higher than revenue growth. Can you maybe talk about that a little bit? What's driving that? And how should we be thinking about that going forward?
Richard F. Smith: Yes, John alluded to that a little bit in his commentary there. It has to do with mix of products within OSIS -- OCIS and it's just that our core online credit product is -- which has huge margins, as you know, and very large incremental margin, is growing at a faster rate than overall USCIS -- or USIS.
Georgios Mihalos - Crédit Suisse AG, Research Division: Okay, great. And maybe I'll sneak one last one in. Just in terms of PSol, you're talking about the business changing a little bit there. Are you comfortable with PSol being able to grow in 2015, just given some of the changes you're making there?
Richard F. Smith: Absolutely, George. And I mentioned that in our last call that Trey and his team have done a great job of kind of identifying there's a new world out there in this free market, and there's 3 pillars to his growth. One is to maximize the growth potential and larger potential in its core business. Two, is to take this asset we bought, god, I think it was a year ago, called TrustedID, which is the indirect market, and grow that at significant rates and he's doing that. The pipeline, as I mentioned in my comments, is really, really strong. Pipeline of -- and have closed some of those deals as well. And the pipeline for revenue in fourth quarter and next year remains very, very strong. The third lever is he's got to figure out a way to not -- to play in the free market and he's doing that as well. So I mentioned, I think it was in the second quarter call, George, that those guys have done a great job over the last, I think, 2 years of growing beyond our long-term growth model. We talked about them being upper single digits growth model, and they've been growing it double digit. And I mentioned on the call -- in the second quarter call that, yes, I'm convinced that these guys will get back to their long-term growth model next year.
Operator: Our next question will come from Manav Patnaik of Barclays.
Gregory Bardi - Barclays Capital, Research Division: This is actually Greg stepping in for Manav. Just following up on PSol. You talked about TrustedID as the way to go after the indirect space. Could you also provide some color on the strategy in that remaining direct-to-consumer space and what you're doing there?
Richard F. Smith: Yes. So again, it's -- as how [ph] I answered for George, 3 pillars of growth. One is to continue to just maximize your growth by minimizing churn, maximizing ARPU, continue to launch new products in the old core business. Things he's done very, very well now for whatever it's been, 4, 5 years. Just continue that and that will yield growth for us. That's going to be, as I talked about before, in the lower single digit growth rates. You then couple that with TrustedID growing at strong double-digit growth rates and then finding a way to play in the free market. You aggregate those 3 together and you get a strong upper single digit growth rate.
Gregory Bardi - Barclays Capital, Research Division: Okay. And then I know commercial is now wrapped back into USIS and International, but can you talk about how those offerings have been performing? And is that still a market segment? Or you think you can get that high single digit growth?
Richard F. Smith: We gave you in the press release historical figures for commercial and you can kind of work with those and build some models. We're not going to break that out going forward. It's a very, very small part of our business, as you know, but it still remains important for us. Yes, I'm convinced it's a growth business as a part of USIS. And then the main reason I put it back into USCIS was that most of the business comes with what we call KCP or large clients and USCIS had those relationships. So I'm convinced taking the product offerings we have with the pipes that we have in USCIS will yield good growth going forward, yes.
Gregory Bardi - Barclays Capital, Research Division: And consolidating that commercial business into International, just to check, doesn't have any impact on the 25% margin that you expect for International ending the year?
Richard F. Smith: Haven't done that calculation. No. The answer is, no. I'm being told no. It's very small. It's very small in the scheme of things.
Operator: And we'll move on to our next question from David Togut of Evercore.
David Togut - Evercore Partners Inc., Research Division: Could you dig into the underlying unit growth and unit pricing trends year-over-year that you saw in OLCIS?
Richard F. Smith: You're looking for volume or for price or both?
David Togut - Evercore Partners Inc., Research Division: Both volume and price, if you have it.
Richard F. Smith: Okay. I don't have it. Do you have that, Jeff? Give us a second, David. I don't have that at my fingertips.
David Togut - Evercore Partners Inc., Research Division: Okay. Let me shift to the next question then. Mortgage has been a headwind for the past year or so, but rates on the 10-year Treasury have been dropping very sharply over the last few months. Is there a case to be made that mortgage actually could once again become a growth driver in 2015?
Richard F. Smith: Yes, I think there's a case. It's a convergence of a couple of different things. I think, obviously, it's unemployment moving down, home prices going up. The 10-year which the mortgage rates are based upon continue to stay at these historically low rates. There's also, I think, David, you probably read, a lot of discussion right now in D.C. about changing the regulation, driven by Fannie and Freddie, on the underwriting standards that the banks would have to adhere to. If they loosen those standards, it potentially opens up, obviously, a larger population of credit risk to the mortgage market. So keep your eye on that, too. If that happens, that's obviously a potential good catalyst for us. The other thing we're seeing already, and I think it's -- speak from memory, but there's an uptick in home equity lending, which has been virtually nonexistent since the recession. And I think in the third quarter it grew something like 21%. So it's still very low numbers compared to historical standards of the total volume, but that should be an uptick for us going forward as well.
David Togut - Evercore Partners Inc., Research Division: Just final question for me. Can you give us a sense of consumer credit demand by major geographies served? How you see that evolving over the next 12 to 18 months?
Richard F. Smith: Yes. Let's think about that. So in Latin America, if that's what you're referring to, if you're referring to the International footprint versus just USIS, David? Is that correct?
David Togut - Evercore Partners Inc., Research Division: Yes.
Richard F. Smith: Yes. Latin America is still immature so -- in the use of credit products, so it's continued to expand and continue to grow even though we're reading about things like recessions and instability in some governments like Argentina. So I continue to see medium-term and long-term growth prospects in the Latin America region to be strong. In the U.S., it really depends on the credit spectrum and the verticals. You heard us talk about in the past, automotive continues to be strong in the use of credit and the growth in credit. Just mentioned 21% growth in home equity lending in the third quarter. I think that's going to be strong for us. I think you're going to see a switch from headwinds in mortgage to growth next year. The credit card lending business is starting to see some signs of growth in the U.S., which is encouraging as well. Canada, I'd describe as stable. U.K., I'd describe as stable to some good growth. And I'd describe Spain, even though we continue to do a good job in Spain, as a troubled economy right now. Hopefully, that helps.
David Togut - Evercore Partners Inc., Research Division: Got it. Should I follow-up with John on the unit numbers after the call?
Richard F. Smith: Please do. No, David, I got it here now. Yes, the volume was up 14% in the quarter, and the unit price was down approximately 5%.
David Togut - Evercore Partners Inc., Research Division: And that was just mix shift?
Richard F. Smith: Correct.
Operator: And we'll move on to our next question from Dan Perlin of RBC Capital Markets.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: I was wondering if you could just help me -- you threw out a lot of numbers there. Can you just help me reconcile kind of the Europe number? Because if I take out the currency benefit and I take out what you said for TDX, it looks like that market's down close to 9%. And I didn't -- it's not kind of what I heard, so I just want to make sure I'm doing the right math, for one.
Richard F. Smith: So you're looking for the core organic non -- core organic growth rate in Europe?
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Yes, core organic, FX adjusted. Like the core business seems like it's down 9% based on that math.
Richard F. Smith: That's not right, no.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: And it didn't sound -- you had about almost a $5 million benefit on FX, I think, in Europe. And then it sounded like it's 16 points. There's like $21 million for TDX. That puts you at $44 million. Is that right?
Richard F. Smith: You got that?
John W. Gamble: 22% local [indiscernible] acquisition.
Richard F. Smith: International Europe he's asking, right?
John W. Gamble: Just Europe.
Richard F. Smith: Yes, just Europe.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Yes, I'm just trying to pinpoint how Europe is kind of shaking out for everybody.
Richard F. Smith: Who's got that?
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: And I can follow up with that.
Richard F. Smith: Let me tell you, I don't -- it's not going to be down 9%. It's up.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Okay. I'll follow up with the details. I felt like something wasn't right there, but the numbers just kind of spoke to that based on what I heard.
Richard F. Smith: Well, Dan, let's continue through on the last statement. We'll come back...
Jeffrey L. Dodge: Mid single-digit organic growth in Europe, taking out TDX.
Richard F. Smith: In Europe. How about FX, local currency?
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: And if you take out FX, then it's another $5 million.
Richard F. Smith: My recollection was it's about 5% or 6% local currency growth rate organically in Europe, but we'll confirm that. Is that right, Jeff? That is right, that is right, Dan. It's a 5% to 6% growth.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Okay. And then I wanted to kind of circle back. It sounds like the good news is mortgage is, as you say, the headwind's abating. Things are turning. We've got a HELOC market that's kind of new and different from last time around. But what I'm wondering is, can you remind us, to the extent that those -- both new refined HELOCs start to actually turn into something that's positive, I don't want to get caught off guard on the mix in the margin. I feel like that would be negative to margins in aggregate. Is that a true statement or not?
Richard F. Smith: No, no, it's not. I'm fairly agnostic. The lower-margin business tends to be the tri-merge businesses. We got expense associated with that. But I mean, home refinancing versus HELOC, they're a good solid margin business for EWS as well as USCIS.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Right, okay. And then in terms of refi versus new origination, the refi is lower because you're just pulling the kind of abridged tax return. Is that right?
Richard F. Smith: Correct.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Okay. And then just one last one. When you look at the type of credit decisioning that your bank partners have in the United States, like the insight that you're seeing there, can you just give us a sense of where you think their lending appetite is, just more broadly in the states?
Richard F. Smith: Yes, I'd say with the uncertainty in mortgage, they tend to be -- continue to be very, very cautious on -- in the mortgage market and I don't blame them until we get regulatory clarity coming out of Washington. As I mentioned before, I think they're jumping back in, in a very aggressive way on the automotive lending. Now I'd say on credit card, they're starting to go down subprime, Dan, but they're going down subprime with very small lines of credit versus going down market with higher -- lower credit scores and higher lines. So when you're seeing lines, $500, $600, $750 for the subprime market but they're getting back in the subprime credit card lending now.
Operator: Our next question comes from Paul Ginocchio of Deutsche Bank.
Paul Ginocchio - Deutsche Bank AG, Research Division: Just looking at Consumer Financial Marketing or Financial Marketing Services, it looks like it decelerated from the second quarter of high single digits to the third quarter of low single digits. Just wondering what drove that, particularly in light of your -- just your comments. It seems like banks are somewhat trying to find new customers. I just would have thought that number would've done a little bit better in this sort of improving job market.
Richard F. Smith: Well, think about it this way. In the Marketing Services, there's really 3 lines of business. They're not kind of combined, so there's a little bit of noise in there. There is the core, which you're familiar with, the CMS business, Credit Marketing Services. There's the IXI business, which you're familiar with. And now there's the Marketing Services business we have in commercial, which we call internally MDS. So you got 3 things going on there. MDS is down year-on-year, and you got good strong growth in IXI and overall strong growth in traditional USIS or USCIS marketing business.
Paul Ginocchio - Deutsche Bank AG, Research Division: So I guess the takeaway is that it's just the commercial business that's weak and we're still seeing banks reaching out and trying to find new customers. That's not changed?
Richard F. Smith: Yes, correct.
Operator: And we'll take our next question from Andrew Jeffrey of SunTrust.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Rick, appreciate the color on some of the USIS wins, especially Social Security and CMS. When you combine sort of the tailwind and the momentum you've got there with the anniversary of some of these faster-growing acquisitions, it strikes me that at least maybe the high end of the 6% to 8% core non-mortgage organic is a reasonable expectation for '15. Can you just kind of comment on that?
Richard F. Smith: Yes, I -- as I mentioned in my closing comments, the team continues to execute at a very high level. We've, for a number of quarters or years now, been in that range. I expect us to clearly be in that range in fourth quarter and clearly be in that range in 2015. Fine-tuning where in that range is a little too early at this time, but as we get into 2015, I'll give you more color at that time. But just know I remain committed that we're going to be in that range of 7% to 10%.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Okay. Are there any sort of intrinsic or cyclical headwinds? Because it seems like not only winning new business but the nature of the business is becoming more diversified from an end market and customer perspective. Are there any offsets, at least qualitatively, you can think about to the new business you're winning? Or you're just kind of being cautious because it's not even November yet?
Richard F. Smith: No, it's not -- I don't think it's being cautious. It's a business model we're committed to, and it's early for me to sit here and give you any additional color on '15 and beyond. The model we've given you before, which is organic of 6% to 8%, 7% to 10%, total of 25 basis points margin, it's just a little too early.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And could you just comment a little bit on the pipeline? It seems like you're winning again more maybe government agency business. Is that -- if you look at the pipeline of prospective deals that's out there, is the nature of the business or the characteristics of the customers materially different today than it might have been a couple of years ago?
Richard F. Smith: No, I think the one thing you hit on there is when we won the CMS business in EWS, that opened up contacts within the federal government which we had not had before. And as a result of that, we took advantage of that, built a vertical focus to capitalize on that. I don't think it'll materially change the revenue mix of who we are going forward 3, 4, 5 years, but it's nice significant wins in an arena, 2 or 3 years ago, we didn't do business with.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And I guess, last, from a capital allocation standpoint, good to see you're buying back the stock. Are you still in the market sort of hunting for acquisitions? Or would you characterize that as being opportunistic?
Richard F. Smith: Yes, absolutely, and the model hasn't changed. Most of our focus is on core organic growth, and when we get the right strategic acquisitions, we'll do so. John talked about in his comments buying back 113 million of shares in the third quarter. You should expect us short term in the fourth quarter to continue to be in the market buying back shares. But we'll also, because of our model and how much cash we throw off, also be looking for the right deals. And our model is 1 to 2 points of acquisition growth per year, so that hasn't changed.
Operator: And we'll move on to our next question from Shlomo Rosenbaum of Stifel.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: I just want to work through the currency to make sure that we understand it properly. Was the $5.6 million of currency headwinds a year-over-year headwind? Or is that a difference from what you guys were expecting at the time you gave guidance in July?
John W. Gamble: It was year-over-year, but the bulk of that happened since the forecast was given in July.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. So when you're looking at your margin profile internally versus what you were expecting, are you looking at kind of an OPM of 26.8%, adding back the $4.3 million in terms of your operational look at the business?
Richard F. Smith: You're saying if you adjust for FX, what would the operational...
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Yes. Right. I'm getting a 26.8% if I adjust for that. Is that kind of the way you guys were looking at it as you were entering the year or, excuse me, entering the quarter? That's kind of the target and that's where you guys kind of feel like you were, absent the headwinds.
Richard F. Smith: It sounds like you've done the math. We don't get the whole granularity where you adjust operating margin based upon FX, but I trust your math is right. We could do that math. But the margin profile, we've committed to be up 25 basis points a year. You're going to have some noise, Shlomo, quarter-to-quarter. I think that weren't we up -- what was the margin this quarter versus last year? Up 20 basis points, so largely in line with what we guided to.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And then what was the non-mortgage underlying growth, so constant currency, non-mortgage growth? So you said it was between the 6% to 8%. Can you give us a more exact number?
Richard F. Smith: Yes, it was 6.4%.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And then what was in that other income line? It was like around $3.5 million. What was that comprised of?
John W. Gamble: It's just basically generally net of interest income and interest expense in general, right? And it was up this year basically because last year, we had losses due to some activities in Latin America and repatriation of funds that didn't occur this year.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: So I'm not really following what that was. There were some kind of gain that can't -- there was a gain in other income, excluding the interest expense. Was that interest income that you're talking about?
John W. Gamble: Yes, interest income, net of expense, and then there's some other FX gains that occur in there. But the reason it's up year-on-year is because we had losses last year related to some repatriation of funds, and that's why it's lower last year than normal.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And if you don't mind, I was going to sneak in some housekeeping. What tax rate are you assuming for the fourth quarter?
Richard F. Smith: I couldn't hear what you said, Shlomo.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Tax rate?
John W. Gamble: Tax rate, about 35%.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: 35%, okay, so consistent. And then just anything else from the legal settlements? In other words, do you still have the right to use whatever software that you guys want and things like that? Or is there anything lingering or this just settles it and that's it?
Richard F. Smith: I'll jump into the legal settlement in a second and go back. On tax rate, we've always guided our tax rate over an annual basis, will be between 35% and 37%. If you look back to second quarter, we're actually over 37%, 37.2%. A little under that number this quarter, but back in the range next quarter. So for the full year, John, we expect tax rate to be in that range of 35% to 37%.
John W. Gamble: Absolutely, yes.
Richard F. Smith: Back to the legal settlement, ask your question one more time, Shlomo, specifically?
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Just there was a legal settlement and it seemed to circle around the rights to use the software. So is there anything that's lingering that kind of hampers you? Or did that settlement entitle you to use whatever software you need right now?
Richard F. Smith: None whatsoever. This was a contract that dates back to 2002. The team has worked through it. We have the right to use the software for a period of time going forward. It will have no impact on our business operations.
Operator: [Operator Instructions] And we'll take our next question from Jeff Meuler of Baird.
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: I guess, Rick, you talked about 2 things in terms of moving to new geos, TDX and I think data breach business. I know that's always a big driver for you guys. Can you just provide a more comprehensive recap on what the key initiatives are right now in terms of taking other products beyond those 2 to new geos?
Richard F. Smith: Yes, thank you. Let me see if I can clarify that, Jeff. On TDX, it's clearly taking the TDX and the Inffinix and combining those as one platform, bring them to the U.S. and Rudy and his team are well on their way to doing that. We have resources on the ground in the U.S. We expect to launch some offerings in 2015. Canada has a very similar need that's not being served today. So those are 2 -- and we talked about Australia. There was a small business in Australia for TDX and we bought it. And I think I mentioned on the last earnings call, they won some really nice contracts in Australia, expanding our presence in Australia. And the benefit there is we get to know the market in Australia and now look for things like analytics decisioning platforms and other opportunities in places like Australia. The data breach is really taking a skinnied-down offering that works very well in Canada. The team up there has now closed multiple data breach deals in the last year or so and taking that to other current places where we operate in the International footprint, not new places. The third area for geographical expansion will be -- the next area will be just looking at expanding through acquisition our operations outside of the 19 countries or so we operate in today.
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then on the PSol, the third point to your growth strategy in terms of playing in a free or freemium market, is the model going to be an ad-supported one? Or are you thinking more about allegiance? So just how are you thinking about monetizing a free market?
Richard F. Smith: Great question. Let me get back to the question, I can't remember the last -- earlier. But if you think about PSol going forward, the goal is to get it back to that upper single digit growth business starting next year. We'll do that by just optimizing the core churn, ARPU, new products, so on and so forth, and the indirect. We have yet to develop the full strategy for the freemium market. So when that is fleshed out, we'll let you know, but I don't need that to get to the upper single digit growth rate next year.
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then just finally, corporate expense. I know that you guys had previously been signaling for it to be somewhat variable quarter-to-quarter. But was Q3 roughly in line with your internal expectations? And then directionally, what should we be thinking about for Q4?
Richard F. Smith: The answer for the third quarter is, yes, definitely in line with our expectations.
John W. Gamble: Yes. And year-to-date, as we said, it's pretty much flat year-over-year, right, so...
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: Yes, but -- so what should we think about for Q4? Because, I mean, I think it was up like $8 million sequentially. Should we be thinking about a similar absolute dollar level for Q4? Or should it come down somewhat? Just how -- any direction you could help -- give us available...
John W. Gamble: It should come down in Q4.
Operator: And we'll move on to our next question from Jeff Volshteyn of JPMorgan.
Jeffrey Y. Volshteyn - JP Morgan Chase & Co, Research Division: I only have like a couple of housekeeping questions. In regards to the fourth quarter guidance, could we get into the details, the components of revenue growth, what's implied for core non-mortgage constant currency growth, M&A contribution, mortgage impact and the share count?
Richard F. Smith: I couldn't write those down fast enough. Let me just take off a few. We're not going to get into the growth rates at the business unit level at this juncture for the fourth quarter. But in total, we would expect the core organic non-mortgage growth rate to again continue to be in the range that we've committed to of 6% to 8%. On the share count, you should expect us again to be buying back shares of -- at a similar pace that we did in the third quarter. So with that, you could do the calculation on the share count as we exit the year. What was your third and fourth question?
Jeffrey Y. Volshteyn - JP Morgan Chase & Co, Research Division: M&A contribution and the mortgage impact.
Richard F. Smith: Okay. On the M&A, I don't expect any additional M&A impact beyond the acquisitions we've already closed earlier this year. And on the mortgage impact, I think the mortgage market expectation for this year, for the fourth quarter, Jeff, has it moved closer to flat market itself?
John W. Gamble: Yes.
Richard F. Smith: Yes, it should be moving closer. I think it was down -- the bankers' index was down 26% in the third quarter and that's going to move closer to flat as you exit the year.
Operator: [Operator Instructions] And we'll take our next question from George Gregory of Exane.
George Gregory - Exane BNP Paribas, Research Division: I had 3 questions, if I may. I'll take them each in turn. Firstly, in terms of OCIS, could I check, you saw a modest acceleration from Q2 to Q3. Against that, you saw an abatement in the mortgage headwind. In underlying terms, was there any change in trend there?
Richard F. Smith: Versus the second quarter, is that your question, Greg?
George Gregory - Exane BNP Paribas, Research Division: Correct, yes.
Richard F. Smith: No, no, I'd say that -- we saw -- we talked about -- earlier someone asked the question about margin in USCIS and I talked about the fact that our core credit product, online credit products within OCIS grew nicely and that had high margins. So if anything was unusual, that grew at a little faster rate. That was really driven by the fact that our -- we call, you're familiar with this, Greg, I know you're from the U.K., KCP, key client program, which are some of our larger, more strategic customers. Both FI, private-label credit card issuers, and telco grew at a very nice rate in the quarter. So -- but those are 2 trends that have been occurring now for a few quarters.
George Gregory - Exane BNP Paribas, Research Division: Okay. Second, in terms of Latin America, in particular, in Brazil, is it fair to say that you're now, albeit off of a small base, taking some share from your larger competitor? And on that subject, is there -- is that in particular on the consumer side or the business side? Any color you could add to that, please.
Richard F. Smith: Greg, since we don't consolidate that asset at this juncture, I can't go into this level of detail, but I'll tell you this. We spent a lot of time down there, as you might guess, with the team and continue to like the asset medium term, short term and long term. So I'll leave it at that.
George Gregory - Exane BNP Paribas, Research Division: Very good. And final question, we've talked quite a bit about PSol already, but any particular comments on the competitive environment there, in particular, in the freemium space?
Richard F. Smith: I think it's here to stay. And I applaud the team. They're facing the reality that the market shifted pretty quickly a few quarters ago. And rather than ignoring it, they've stood up and created a modified business plan that will get us to that double -- that upper single-digit growth rate. So freemium is here to stay. I don't see it going away.
George Gregory - Exane BNP Paribas, Research Division: And maybe just to finish. When do you expect to have decided upon a strategy to play in the freemium market?
Richard F. Smith: I would think as we get on the phone with you guys, in the first quarter, we'll lay that out for you. Jeff?
Operator: And as we have no further questions, I would like to turn it back over to our speakers for any additional or closing remarks.
Jeffrey L. Dodge: Okay. With that, I'd like to thank everybody for their time and their interest in Equifax. And with that, we'll terminate the call. Have a good day.
Operator: And that does conclude our conference. We thank you for your participation.